Operator: Ladies and gentlemen, welcome to the Lundbeck Financial Statement for the First 9 Months of 2025 Conference Call. I'm Lorenzo, the Chorus Call operator. [Operator Instructions] At this time, it's my pleasure to hand over to Charl van Zyl, President and CEO. Please go ahead, sir.
Charl van Zyl: Welcome to everyone. Thank you for joining our quarter 3 earnings call and, of course, also full year guidance. From the outset, I just want to make a few quick remarks. Again, very pleased, of course, with our strategic progress. We see very strong momentum that continues, and we've made some very targeted investments in Vyepti and Rexulti that underlie that momentum. If we can go to the next slide, please. So of course, what we discuss today is forward-looking statements that are subject to change. If we can go to the next slide. So let me just lay out the agenda for today. And of course, I'm very pleased to be joined here with my leadership team that will take us further into some of the insights that help us to understand better what -- how we are performing and of course, also transforming Lundbeck for the long term. So let me start with the results, and we take the next slide, please. So from a results perspective, again, very strong growth. As I said from the outset, momentum continues to be very strong for us. We see our growth essentially faster than what we had assumed, and that's very much focused on very targeted investments that we have made, choices we have made to our key strategic brands to invest more behind Vyepti and Rexulti. And you see the result of that with a very strong double-digit growth across both of those brands. On the innovation side, we continue to see very, very strong advancement of our pipeline. We're in a stage where we have 5 to 6 mid- to late-stage opportunities that are advancing well. And I would just highlight a few key points, which will be further expanded by Johan and Maria later. First of all, Vyepti, of course, we are advancing with our submissions and filing in Asia as important growth drivers for the future growth of Vyepti. And we are also advancing our anti-PACAP Phase IIb with expected headline results in quarter 1, 2026. As we also build further the pipeline, we see the build of the neuro-rare franchise with enrollment advancing, of course, with bexicaserin and amlenetug. And we will also highlight today more specifically some of the new elements of the pipeline, specifically our CD40 ligand that really allows us to address further immune modulation, and Johan will talk more specifically about a key program there. The final pillar of our strategy is really around funding. And of course, we have been very clear with you around our very targeted capital reallocation program that is very disciplined to ensure that we can invest in additional growth opportunities, but also sufficiently invest in the pipeline for the long-term sustainable growth. And we see very good progress there. It remains on track, and specifically the rollout of our commercial model has been a major highlight of the last quarter. So with that, of course, we announced, as we did yesterday, an upgrade to the guidance based on the very strong fundamentals, based on the very targeted investments we've made behind our key strategic brands that give us confidence on the momentum for the full year. So with that, to take us further into some of the specific elements of our strategic assets, I would like to hand the floor to Tom. We can take the next slide, please.
Thomas Gibbs: Thank you, Charl, and good morning or good afternoon, everyone. As Charles just mentioned, we are pleased with our commercial performance through the first 3 quarters of 2025, which is headlined by strong growth of Vyepti and accelerating growth of Rexulti. Please turn to the next slide, and I'll first review the performance details for Vyepti. Vyepti delivered strong results during the first 9 months of 2025. This performance has been powered by continued strong growth in the U.S. and supported by robust adoption of Vyepti in prioritized ex-U.S. markets, including Canada, Italy, France, Spain, and Germany. Vyepti global net revenue for the third quarter year-to-date 2025 was DKK 3.254 billion, and this represents 57% growth over the same period last year. Net revenue for Vyepti in the U.S. was DKK 2.834 billion, growing 56% over prior year. I want to focus a moment on the U.S. We continue to make purposeful investments in our patient-centric model supporting Vyepti through our disciplined capital allocation program that Joerg will speak to later. These incremental investments, including our sales force expansion in July of this year and our direct-to-consumer patient engagement continue to outperform our expectations, driven by precision execution and informed by our advanced analytics platform. We expect to continue to see market-leading demand growth by driving depth and breadth of prescribing and continued positive momentum in new patient starts, supported by high written to infusion conversion ratios and best-in-class persistency. Next slide, please. Rexulti continues to perform well, delivering consistent growth propelled by continued strong progress within the AADAD segment in the U.S. Reported revenue were DKK 4.695 billion, increasing 26% through 3Q 2025 versus prior year. I think importantly, revenue growth in the U.S. was driven by strong underlying TRx demand, achieving 24% growth through the first 9 months of 2025 versus the same period in 2024. Rexulti-AADAD volume is becoming increasingly important to the overall Rexulti brand growth, and we expect this to continue through 2025 and beyond. AADAD monthly TRx volume has increased 664% versus pre-indication baseline and AADAD contribution to the overall Rexulti demand has grown to over 23%. The 65-plus segment now contributes 33.7% or more than 1 out of every 3 of Rexulti TRx claims based upon the most recently available claims data. I believe this positive halo effect on overall Rexulti's 65-plus segment truly reflects the full value of the AADAD indication for the brand. The team is continuing to focus on the levers to accelerate growth for Rexulti informed by our marginal return on investment quarterly analysis. As I shared with you last quarter, we are applying our dynamic resource allocation focused innovator principle to redirect a portion of our AADAD direct-to-consumer funds to expand our primary care footprint to drive greater breadth and depth of prescribing. The first wave of the expansion of our multi-specialty sales force team was deployed during 3Q 2025, and we're encouraged by the very early results. Michala, over to you.
Michala Fischer-Hansen: Thank you, Tom. And let's now take a look at the Abilify franchise. Next slide, please. There it is. Here, we continue to see sales progressing very nicely with 11% growth versus the same period last year, now at DKK 2.858 billion, and this is driven by the Abilify 2 monthly or the Asimtufii formulation, which is now launched in 24 countries around the world. The conversion, as you can see on the right side of the slide, from 1M to 2M is progressing very strongly, where we see 18% TRx share and 20% NBRx share in the U.S., and an average conversion rate of just above 17% in Europe and international operations. We further continue to see encouraging conversion from orals at 59% in the U.S. and an estimated 40% conversion across Europe and international operations. Earlier this year, we saw generic entry of Abilify one monthly in Australia, and we now have confirmation that 2 generic versions of Abilify one monthly has been approved through the decentralized procedure in Europe as well as in Canada. We expect to see the first launches beginning in -- in the beginning of 2026. Next slide, please. As previously announced and also mentioned by Charl in the opening, we have recently taken important steps to evolve our commercial model by partnering our commercial operations in 27 markets. This is really a signature project in our focused innovator strategy and a key pillar. The purpose of the change is to sharpen our focus on our key markets, markets that drive over 80% of our revenue and markets that also represent 80% of the market potential within neuro-specialty and neuro-rare. I'm pleased to share that the project is progressing as planned, and we're on track to complete the transaction by December 1, thereby allowing us to maintain business continuity in these geographies and ensuring continued access to our medicines for the patients. With this critical project, we reduced complexity across the enterprise, and we also free up significant capital that we can reallocate across the enterprise into commercial growth and R&D. It also further allows us to continue to sharpen our focus on our key markets, and thereby maximizing growth of the strategic brands, ensuring that we have the strong readiness we need for the upcoming losses of exclusivity and importantly, securing the buildup and preparations for our neuro-rare and neuro-specialty model. With that, I'd like to hand over to my colleague, Johan and Maria, to give you a portfolio update.
Johan Luthman: Thank you, Michala and Tom, it's great to see the continued strong commercial performance. Yes, let us now turn over to the portfolio update from Maria and I. So next slide, please. So let me start with eptinezumab, our brand Vyepti. We are making good progress on the Asian expansion, which remains a key future growth driver for Vyepti. The door opener for this were data obtained through the SUN program, in particular the SUNRISE trial. The SUNRISE trial confirmed the efficacy and safety of eptinezumab in a predominantly Asian population with results comparable to previous pivotal trials. Importantly, the trial also substantiated a rapid onset of action. Data were reported in full in June at the European Academy of Neurology Congress and are also now published in cephalalgia in August. Eptinezumab was filed for approval in Korea in early August, as we reported last quarter. We have now also filed in China and the submission in Japan is progressing as planned. In addition, during the quarter, the FDA finished the review and acknowledged the clinical relevance of the previous RELIEF trial. The RELIEF trial demonstrated that when Vyepti was given during a moderate-to-severe migraine attack, patients eligible for preventive treatment showed rapid relief of headache pain and migraine associated symptoms. For example, Vyepti demonstrated efficacy within 2 hours after start of infusion and led to a median time to headache pain freedom of 4 hours versus 9 hours for placebo. Also the treatment reduced the need for rescue medication. The data from the trial are now included as a third clinical study in the U.S. prescribing information for Vyepti. I'd also like to mention that we, at the International Headache Conference 2025, presented new data from the resolution open-label extension trial in a very severe migraine population and in the sunset extension trial of the Asia pivotal program, both underlining Nelson of sustained efficacy and safety profile. Taken together, these developments highlight how we continue to expand our reach and further document the clinical strength of eptinezumab. Staying within migraine, our precede Phase II ADAPT trial on the anti-PACAP antibody 222 is advancing very well, and we expect full trial results, as Charl already mentioned, in Q1 2026. Bear in mind, the PACAP inhibition offers a distinctly different mechanism of action compared to blocking CGRP signaling, potentially addressing a broader spectrum of migraine biology. Let me also spend a moment on our alpha-synuclein antibody, amlenetug. As you may recall, based on our very encouraging data we obtained in the Phase IIa AMULET trial, we initiated a pivotal program by this time last year. This global Phase III trial called MASCOT is evaluating amlenetug's potential to become a first-in-class and first in indication treatment in MSA. The MASCOT trial is progressing very well with site activations completed across geographies and strong recruitment momentum. The high interest to enroll in the MASCOT trial is obviously driven by the enormous medical need in MSA. However, the program is also recognized for its highly innovative design, for example, applying a basic progression modeling statistical approach, suitable for diseases such as MSA. The scientific and medical interest in the program was indeed something that was observed in the International Congress of Parkinson's Disease and Movements Disorders in October. In neuro-rare epilepsy, the bexicaserin DEEp program continues to make steady progress. We have now -- the 3 DEEp trials approved in all key geographies and site activations are progressing strongly. In addition, the program recently received breakthrough therapy destination in China, reflecting a strong confidence in its therapeutic potential for patients with developmental and epileptic encephalopathies. The results of the Phase II PACIFIC trial on bexicaserin were recently published in Epilepsia and presented at the International Epilepsy Congress in Lisbon. This data reinforced the durability and consistency of bexicaserin's treatment effect across DEs. Overall, the bexicaserin program sees strong engagement from KOLs, patients and caregiver groups. In summary, the quarter has seen substantial progress across our late-stage trials with strong execution and expanding global reach. Next slide, please. Yes. Let me now turn to another important event in our early development portfolio this time on our 515 program, our CD40 ligand blocker that's being investigated in thyroid eye disease, TED for short. We are currently opening -- currently running an open-label Phase Ib study. At an interim analysis, we have already observed very encouraging data. First, we've seen a notable decrease in anti-thyroid-stimulating hormone receptor autoantibodies. Consequently, we have been able to establish target engagement as well as proof of mechanism. Moreover, and more importantly, the TED patients also showed a clear reduction of proptosis. As you can see from the graph on the left side, proptosis reach over 2-millimeter reduction over time, looking at change versus baseline. This extent of change is considered clinically relevant and used as a primary endpoint in registration trials in TED. So via this exploratory study, we have not only obtained a clear signal suggesting that 515 is affecting disease-relevant autoantibodies, but also that the CD40 blocker may be efficacious in TED patients. 515 is investigated in TED based on our standing of the CD40 biology. The CD40 ligand plays a central role in immune activation and B-cell production. By modulating this pathway, 515 may influence inflammatory processes central to disease activity, but it may also affect other changes, for example, fibrotic tissue formation. More broadly speaking, the recently obtained data on 515 exemplifies how we're implementing our strategy by the use of smaller Phase Ib patient studies, as a determining decision gate before progressing to mid-stage development. As another example, at our Q2 report, we shared information on a Phase Ib study on 996, a first-in-class oral D1/D2 agonist in Parkinson's disease that trigger the preparations for a larger Phase II trial by starting next year. Likewise, based on the strength on the exploratory study 515, in TED, we are now preparing for next steps. We are, therefore, rapidly progressing in the design of the Phase II trial in TED, also to be started next year. With this, I'd like to hand over to Maria, who will speak a little bit more about the further potential of this program.
Maria Alfaiate: Thank you very much, Johan. And when thinking about 515, it's important to retain that despite meaningful progress in recent years, thyroid eye disease remains an area of deep unmet need. TED has seen innovation, but not resolution. Up to 2/3 of patients experiencing complete or only temporary benefit from existing therapies and what was once viewed as a single active phase disease is now increasingly recognized as chronic and relapsing, a condition where long-term immune control is critical. The TED market is growing rapidly, projected to nearly double from USD 2.2 billion today to USD 4 billion by 2034 fueled not only by greater diagnosis and biological adoption, but by the shortcomings of current care that drive emergence of novel treatments. Of nearly 2 million people with TED in the U.S., less than half are diagnosed and about 100,000 moderate-to-severe patients remain candidates for biologic treatment. The existing options have shown what's possible, but also where the bar still stands, limited durability, safety constraints and relapse rates that remain high. Even for responders, treatment burden and risks from hearing impairment and hypoglycemia to infusion reactions do restrict long-term use. That's why our CD40 blocker represents a true next-generation opportunity, a first-in-class mechanism designed to intervene upstream in the immune cascade offering, the potential for safer and more inclusive disease control. Importantly, TED is just the beginning. CD40 inhibition is a platform opportunity pipeline in a product with potential across multiple autoimmune and immunologic indications. With a strong biomarker foundation and a unique mechanism of action, this molecule positions Lundbeck at the forefront of neuroimmunology trailblazing, aiming to build long-term value across a number of different stakeholders. Value for patients with meaningful sustained benefit and improved quality of life, value for physicians with confidence in safety and durability and a broader eligibility for payers, and health care economies with reduced relapse and surgical burden, delivering long-term savings and ultimately, value for Lundbeck and its shareholders by delivering clear differentiation, multi-indication potential that drives enduring value. And to take us through the financial results and outlook, I would like to now hand over to Joerg.
Joerg Hornstein: Thank you very much, Maria. From a pipeline product pool, readout of strong financials. It was another strong quarter for Lundbeck as we continue to deliver solid performance with double-digit revenue growth in the first 9 months of '25, reflecting robust operational momentum. Vyepti and Rexulti remain standout performers, supported by disciplined execution and efficiency gains. Our adjusted EBITDA margin reached 33.8%, underscoring our disciplined capital strategy, that balances future investment with near-term delivery and maximizes returns through focused efficient capital deployment. Reflecting the stronger momentum of Vyepti and Rexulti driven by additional investments, allows us to raise and narrow our full year guidance for this year. But let's move to the next slide for a deeper look at the financials. Revenue reached DKK 18.5 billion, growing 14% at constant exchange rates, driven by continued strong performance across our strategic brands, which grew 20%. The adjusted gross margin was 87.8%, driven by the effect of costs related to a manufacturing contract for amlenetug. Sales and distribution costs increased slightly by 2% to DKK 5.7 billion, reflecting the redeployment of resources after the U.S. Trintellix divestment and our continued investments in Vyepti and Rexulti in the U.S. Admin expenses unchanged and in line with expectations. R&D costs increased by 2%, reaching DKK 3.4 billion, mainly driven by the continued progression of our Phase III programs for Bexicaserin, amlenetug and a maturing mid-stage pipeline. The increase was partially offset by the [ MARGLI ] impairment loss recognized in the third quarter of '24 in the amount of DKK 540 million. Adjusted EBITDA grew 22% at constant exchange rates, mainly driven by the strong performance of strategic brands. The adjusted EBITDA margin expanded to 33.8%, up 2.2 percentage points, reflecting strong operating leverage and continued disciplined capital reallocation. Next slide, please. EBIT rose 58% to DKK 4.9 billion, driven by higher gross profit, the reversal of the Vyepti provision for inventory obsolescence. This performance was partially offset by commercial restructuring costs and prior year, impairment losses. Net financials reached an expense of DKK 773 million, mainly due to unfavorable currency effects, mainly from the U.S. dollar and higher interest costs related to the new debt obtained in connection with the acquisition of Longboard. Our effective tax rate was 22% and in line with expectation. And net profit increased by 26% to DKK 3.2 billion, while adjusted net profit and EPS rose by 10%, reaching DKK 4.3 billion, reflecting the strong EBIT development, partially offset by higher financial expenses. Next slide, please. Cash flow from operating activities was in line with EBIT performance, reaching DKK 4.6 billion, partially offset by higher prepaid tax payments reflecting expected full year income. Cash flow from investing activities was an outflow of DKK 409 million, mainly related to investments in property, plant and equipment. And last but not least, cash flow from financing activities was an outflow of DKK 5.3 billion, mainly driven by the repayment of the loan facility used for the Longboard acquisition and the dividend payment to shareholders in March '25. And this was partially offset by a DKK 500 million bond issuance in Q2 to refinance the Longboard acquisition. Next slide, please. On November 11, we raised our full year revenue and adjusted EBITDA guidance at constant exchange rates, reflecting continued strong year-to-date performance and positive momentum across the business. Revenue growth is now expected at 13% to 14%, up from 11% to 13%, driven by stronger-than-expected demand due to additional investments for Vyepti and Rexulti in the U.S. Both brands continue to deliver robust growth across key indications. As Michala alluded to, we now expect generic entry for our Abilify Maintena in Europe in 2026. Adjusted EBITDA growth has been upgraded to 22% to 25% from 16% to 21%, reflecting the solid top line performance and the successful execution of Lundbeck's capital reallocation program, which continues to enhance operational efficiency and profitability. Our delta between constant exchange rates and reported rates remains for 2025, as previously guided around 1.5 percentage points below CER growth and adjusted EBITDA around 1 percentage point below CER growth. The dollar FX rate has moved sideways between Q2 and Q3, but is, of course, substantially below the beginning of the year and the average FX rates we have seen in 2024, which, for the time being, we foresee carrying over into 2026 and our future FX hedging level. Overall, a very good quarter and outlook for '25, reflecting the additional upside achieved by targeted investments and cost discipline. And with that, I would like to hand over back to Charl for final conclusions.
Charl van Zyl: Thank you, Joerg, and thank you to the team. So let me make a few closing remarks before we open for questions. If you can have the final slide, please, as a summary. So first key takeaway for you is we are in a much stronger position than we were 1 year ago. We're advancing very strongly on our strategic path through a very clear focus on growth, on innovation and on funding. And we also see across the quarters as we have also again demonstrated today that we're very clear in our focused execution of our strategy and, of course, very confident also in our midterm guidance that we have provided. And our focused innovative strategy as a final reminder is there to drive sustainable long-term growth for Lundbeck into the next decade. So with that, I would open the floor for questions.
Operator: [Operator Instructions] The first question comes from the line of Charles Pitman-King from Barclays.
Charles Pitman: One quick question, please, on FY '26. Just trying to think about the expected bridge to margins given the divestment of your rights in noncore regions, and this kind of doubling down on the Brintellix Abilify erosion expected over next year. I'm just wondering kind of how -- directionally how we should be thinking about that, given the strong operational leverage that should be offset that, which Vyepti and Rexulti should offset it with. I'm wondering specifically, if you could just touch on your thoughts around where FY '26 consensus is including the kind of FX headwind implied with your current hedging levels? Just anything you can give. I know it's 3Q, you usually speak of 4Q, but just anything you can give us directionally, would be really helpful. And then just secondly, a quick question on Vyepti. Given the label update, just wondering if you could give us an idea of how -- what the implication is of this for your formulary discussions given Lundbeck has been aiming to shift Vyepti earlier in the treatment paradigm for migraine and just maybe the split of current use in the various lines of the treatment that you see today versus recent quarters?
Charl van Zyl: Thank you, Charles. And why don't we start with Vyepti and then we can go to your question on '26. Johan, do you?
Johan Luthman: Thank you, Charles for that question. We submitted an sNDA for review and this was ending up with a label update, as you understood, which is very, very important because it includes 1 more study, Study 3, as is called, the RELIEF study, which really verifies to very early rapid onset or action. But it's still under the umbrella of the original label, the indication label. But it gives us data to promote and support the use in acute ongoing migraine in prevention paradigms. But Tom can answer a little better how we can leverage on this.
Thomas Gibbs: Sure. Thanks for the question, Charles. We see this commercially as a element that enhances the overall clinical value proposition of Vyepti to really further strengthen what the perception is in the marketplace of having superior efficacy, and we continue to work hard to drive Vyepti earlier in the treatment paradigm, and we're seeing some good progress in that direction.
Joerg Hornstein: Well, let me take the 2 questions. I think the first one is, of course, it's a little bit too early to give a full year guidance for '26. So I think overall, we provided midterm targets until the end of '27 of a revenue CAGR of mid-single digit, and that's basically the guidance we currently still see valid. In terms of Abilify Maintena, this is something that will impact us next year, but it's also for us finding out a little bit more of the details of what are the assumptions country by country and also the expected erosion curve. And I think if you look into the effect out of the comm partnership project, then I think as we provided with the press release, we see probably an impact of around DKK 650 million of capital that we're freeing up. On your question regarding hedging levels, we hedge our foreign currency exposure forward-looking 12 to 18 months. So in principle, we are nearly fully hedged also for '26. I think the best indication I can give you is to take the current FX level of the Danish krone versus dollar also as the, you can say, average hedge rate for 2026.
Operator: The next question comes from the line of Kirsty Ross-Stewart from NPB Pariba (sic) [ BNP Paribas ].
Kirsty Ross-Stewart: This is Kirsty Ross-Stewart from BNP. So just firstly, on Abilify, you're calling out kind of the 30% share of Abilify Maintena in several European markets. I'm just interested to what extent you believe this has potential to even grow a little bit in Q4 before you see a generic impact in 2026. And maybe just some color on your experience this year in this quarter in Canada, where you saw a greater generic erosion than you expected. And just a bit of detail on kind of where that erosion came from? Was that from patients on Asimtufii only? Or did you also see a decline in maintenance prescriptions as well? And then on the TED asset, just looking at your -- just interested to see how you're thinking about the value proposition and positioning for the CD40. So are you thinking about this as a proposal like offering high efficacy but then they obviously are played by a few kind of tolerability issues or more like a kind of position that the FcRns and IL-6s are going after, which is the kind of low efficacy but improved tolerability. And related to that, are you pursuing a subcu formulation with this asset like the other kind of late-stage pipeline assets here. And just a very quick clarification, if I may as well. Your -- one of your early slides says about the Asia filings for Vyepti coming in 2026. So I just wanted to confirm that it is indeed 2026 or Q4 '25? I think you're expecting that by the end of this year.
Charl van Zyl: Thank you, Kirsty. So I think the question on our views on our assumptions on LOE, certainly the Canada learnings and then also how you think about Abilify. Michala, would you?
Michala Fischer-Hansen: Yes. So thanks, Kirsty, for the question. Let me see if I can take it one by one. So on Abilify, you asked about our expectation for the rest of the year. And of course, we continue to see, as I showed, strong conversion rates with the 2 monthly formulation, both in the U.S. and Europe and international, and we expect to continue to see that also into next year, which, of course, helps us protect the franchise. And when you -- when we talk about the Brintellix Canada erosion, actually, the erosion has been as expected, but it happened slightly earlier than we had anticipated. So you can say the curves happened as of course, there's both an erosion in volume and there is a price impact immediately at launch. And the curves have followed our expectations. But as I said, they just happened a little bit earlier. So of course, in terms of forecasting the erosion curves, you see both the dynamic on price also across Europe and then you see a volume curve. And there, of course, the Brintellix gives us some learnings. We're here dealing with Abilify. It is an injectable. It's across both vial and prefilled syringe. So there are a few more dynamics at play here. And then, of course, you have the multitude of countries with different dynamics as well that will also have an impact on the erosion curves per country.
Charl van Zyl: Johan, do you want to talk about TED?
Johan Luthman: Yes, first of all, let me emphasize the data I showed today were in acute TED. And as you may be aware, there are sort of 2 distinct conditions, acute and chronic, and the chronic one is sort of the second one people look into. And that's obviously when the acute inflammation is down and the progression of the disease has ceased. What we're aiming for here is to continue to evaluate this drug in both acute and chronic, which is very fundamental also because the mechanism of action is, as I mentioned, maybe also reaching into fibrotic tissue, which could have an effect on the proptosis. Yes, the highly -- higher efficacious drugs come with side effects and tolerability problems that are pretty severe. And we have no evidence from the CD40 class that, that would be a liability. So in our studies so far and in other people's studies on this mechanism, they have really seen a very beneficial safety profile. So you're obviously right, durability is going to be important. In terms of efficacy, yes, we're looking for the chronic part. But our data are actually quite encouraging. So we'll see what we can get in terms of more than 2 millimeter because that's the key one on reversing the proptosis. Too early to tell. Lastly, you talked about subcu, and that's something we eventually will explore. This is an IV right now. So next step is a more extensive dose response study in TED, chronic and acute. And through that, we can explore whether we can push the limits of this drug to get subcu.
Charl van Zyl: Thank you, Johan. And we confirm submissions in Asia as Q4 2025?
Johan Luthman: Yes.
Operator: [Operator Instructions] The next question comes from the line of Marc Goodman from Leerink.
Unknown Analyst: This is Alyssa on for Marc. I'm curious for the bexicaserin program, are you collecting any data that might give an indication on any cognitive benefit over time or other kinds of developmental endpoints that might give an indication on cognition? Also, have you given any guidance on when we might expect top line data for that program? And then finally, the restructuring that was recently announced. You said in the press release, it will begin to commence in November. I'm wondering when we'll start to see the full impact of the restructuring, if there will be a slow ramp over the next few quarters?
Charl van Zyl: Thank you, Alyssa. So Johan, would you comment on bexicaserin?
Johan Luthman: Yes, I can start with your question, cognitive benefits. That's a really, really great question. First of all, we are not seeing bexicaserin as a true disease-modifying mechanism. And some people look for cognition more with a longer-term disease modification, but it's a symptomatic modification that eventually can lead to improvements. Cognition is notoriously difficult to measure in children of different ages. So that's clinically something you don't put high on your readout. Of course, we are going to look at those things eventually, but that's not the main part of the program.
Charl van Zyl: The second question is on the top line readout.
Johan Luthman: Yes, the readout. So as I said, the trials are progressing as we expect. And I think we have communicated our expected readout, and we have not changed on that time line projection.
Charl van Zyl: Thank you, Johan. Michala, you want to talk about our commercial operating model.
Michala Fischer-Hansen: Thank you for the question, Alyssa. So essentially, the business will transition to the partners by December 1, we will be fully transitioned over. And of course, we have been working for the last many months on planning for this and being in close dialogue with the partners. And therefore, of course, we expect that it will not -- there will not be a slowing. It will basically be that we continue operations as we did before. As we also mentioned in the press release, several of our employees will transition to the partner that is ongoing. Those processes are ongoing and not completed yet. But given that, of course, also it is our clear expectation that this will transition over and there won't be such an impact on the ongoing business.
Joerg Hornstein: Maybe just in terms of restructuring cost perspective, we have fully recognized DKK 360 million as onetime cost in our Q3 figures.
Operator: The next question comes from the line of Lucy Codrington from Jefferies.
Lucy-Emma Codrington-Bartlett: A couple on the pipeline, please. Just in terms of Rexulti for Alzheimer's agitation, obviously, we have the upcoming readout of Cobenfy in Alzheimer's psychosis. And I just wanted to get a better understanding of the overlap between those 2 conditions. How well are they differentiated? And is there any potential overlap between the 2 when it comes to treatment? And then related to that, in terms of the primary care rollout. Just so I can understand, is this targeting primary care physicians in a bid to make them more comfortable. I have -- my understanding would be that a primary care physician might be more comfortable kind of refilling an antipsychotic rather than doing the initial treatment and it's the aim to try and improve that initial prescription from a primary care perspective with an antipsychotic. And then secondly, on your -- on amlenetug, any read across from the recent failure of Takeda and Astra's alpha-synuclein antibody that was reported this quarter? I know it has taken a long time for that study to read out. So perhaps no surprises, but just any insights you might have on the differentiation between the two? And then finally, on the -- on Vyepti, and forgive me if I've totally misunderstood the market here, but do you actually have an idea are all patients treated within the Vyepti infusion network? And if not, what proportion are? And do you have an aspiration of what proportion you would like to eventually get treated within the network?
Charl van Zyl: Thank you, Lucy. So I think we start with the Rexulti question related to Cobenfy 42:07 [indiscernible] Indication.
Johan Luthman: So obviously, agitation and aggression that is the Rexulti indication is a much broader tent. And sometimes you can see psychosis as a brother of agitation. But it's more specific symptoms. I'd like to just emphasize that with Rexulti we've seen a set of effects that are strongest in the most bothersome symptoms of agitation, aggression and those bothersome symptoms are not generally psychosis, those are other symptoms, physical or nonphysical; verbal abuse, spitting is part of this and pushing and shoving. So we have a very, very strong profile on a broader set of very troublesome symptoms that drive caregivers to, quite frankly, often give up the care. Psychosis is a subset where you have, as you know, hallucination, et cetera. That is less playing out, but it can lead to aggression. So that's why they're related to each other.
Charl van Zyl: Primary care focus on Rexulti.
Thomas Gibbs: Sure. So thank you for the question, Lucy. As you may or may not know, we have really defined 3 targets for our AADAD sales force, primary care physicians, psychiatry and neurology. If we look at our current market contribution, over 60% of the prescriptions are coming from primary care, about 25% from psychiatry and about -- and the remaining from neurology. Based upon what we've seen in the marketplace, the rollout of our expanded sales force will have 80% of our physicians will be targeted within the primary care segment, and they will be called on both for AADAD as well as MDD.
Charl van Zyl: Thank you, Tom. So the question on amlenetug and our views on the mechanism of action differentiation?
Johan Luthman: Yes. Thank you for that question. It is the MedImmune AstraZeneca molecule that Takeda had in collaboration. Yes, the readout is quite limited impact on how we view our own program, amlenetug. And let me explain a few reasons why. Our amlenetug molecule has an active clearance mechanism. An antibody has something called an [ FCN ] and the [ FCN ] is active with amlenetug, which actually enhances the clearance of the debris, meaning the different seeds of alpha-synuclein through microglia and macrophages. The Takeda AstraZeneca compound does not have that. So it's a very, very distinct and different mechanism. Also, the Takeda molecule has shorter half-life and some other characteristics, some safety monitoring that they had in the trial, which we don't have. But I think the key, key one is really that the mechanism is clearly distinct. And if you have some read-through from the Alzheimer's field, you know those drugs that made it to the market have active immune clearance through the innate immune system, meaning an [ FCN ] that is active.
Charl van Zyl: Thank you, Johan. The VIN network in Vyepti?
Thomas Gibbs: Yes. So thank you again for the question, Lucy. We have continued to drive more and more patients through the Vyepti infusion network because we think the patient experience is a better experience based upon higher conversion rates and even best-in-class persistencies rate. If we look back in 2023, only about 12% of our patients were going through the Vyepti infusion network. That number is approaching 30% now, and we expect to continue to drive greater and greater percentage of the business through that channel.
Operator: We have a follow-up question from the line of Charles Pitman-King from Barclays.
Charles Pitman: Just one quick follow-up. Wondering what your -- just given the kind of progress on tariffs made over the course of this year, and MFN agreements for large cap pharma and the U.S. administration. Just wondering what your thoughts are in terms of trying to quantify any tariff risk in '25 or '26, but also what your outlook is for the potential impact of MFN on those business? What are you expecting? Are you expecting to have to negotiate with the administration or do you expect 232 tariffs to impact more broadly and no opportunity for avoiding those tariffs through a deal?
Charl van Zyl: Thank you, Charles. So first on tariffs. Of course, it's more complex from a supply chain perspective. We also have a partnership with Otsuka. But as things stand now, year-to-date, we have had no impact on tariffs in our current 2025 numbers. And of course, we keep monitoring it very closely, understanding perspectives on different deals being made between geographies to better quantify 2026. But at this point, it's not possible for us to fully quantify that. On the most favored nation part, we, of course, keenly watch the deals that are being made and monitor the progress there. But at this point, it is too early for us to comment on any impact it might have on our business today.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Charl van Zyl for any closing remarks.
Charl van Zyl: Yes. Again, thank you for joining, of course, today. I appreciate your questions and look forward to meeting all of you very soon and also, of course, for our next engagement on the full year results. Thank you again.